Operator: Good afternoon, everyone, and welcome to the First Quarter March 31, 2019, Financial Results Conference Call for American Shared Hospital Services. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I will now turn the call over to Vivian Cervantes with Investor Relations.
Vivian Cervantes: Thank you, operator. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. Please note that various remarks that we may make on this conference call about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company’s filings with the SEC, including the company’s annual report on Form 10-K for the year ended December 31, 2018, and the definitive proxy statement for the Annual Meeting of Shareholders to be held on June 21, 2019. The company assumes no obligation to update the information contained in this conference call. I would now like to turn the call over to Dr. Ernest Bates, Chairman and Chief Executive Officer.
Ernest Bates: Thank you, Vivian. And to those on the call with us today, good afternoon, and thank you for joining our first quarter 2019 earnings conference call. Our agenda this afternoon is as follows: Craig Tagawa, our Chief Operating Officer and Financial Officer, will walk through our business and operational results; Alexis Wallace, our Controller, will then provide our financial review; and following that, we will open the call for your questions. We are pleased to report sequential gains in procedures and revenues in our Gamma Knife business during the quarter. To us, while still relatively early in transition, it appears that the centers opened in Nebraska, Peru, the most recent, Indiana, begin to show signs of traction, combined with our program to enter the market for a large tumor treatment with Icon upgrade of at least three of our units in the next 9 months to 12 months, the first which is at Kettering Medical Center in Ohio. We look forward to spending incremental gains in our business. Turning to proton therapy. We remain in active conversations to advance our business pipeline. This includes HYPERSCAN upgrade of two proton systems that we intend to place into new markets, replicating the success we continue to see in our Orlando unit. With that, now let me turn the call over to Craig.
Craig Tagawa: Thank you, Dr. Bates. Good afternoon, everyone, and thank you for joining us. Our proton therapy business continues to generate growth, and we are pleased to report a nearly 35% revenue increase in the first quarter compared with the year-ago period. Orlando Health continues to treat patients across indications with the quarter’s revenue performance led by volume gains. Orlando Health reports steady increases in proton fractions, which was up 328 fractions or 27% to 1,546 fractions during the quarter. Turning to the Gamma Knife. While we saw some softness in total procedures year-over-year as we continue to transition to new centers, we also note another sequential improvement in volume from the fourth quarter of 2018, with further support by the January 2019 opening of the Merrillville, Indiana center. Gamma Knife procedures in the first quarter declined by 17 or 4% to 275 versus comparable year period. On a sequential basis, we saw an improvement in procedure volumes with fourth quarter 2018 procedures at 354 or up 6%. We remain optimistic as clinical turnover in certain sites normalize. And as Dr. Bates mentioned, we plan to upgrade at least three of our Gamma Knife units to Icon in the next 9 months to 12 months, allowing us to target larger tumors for incremental revenue opportunities. We continue to expect completion of our Icon upgrade at Kettering Medical Center in Ohio in the second half of 2019. I will turn the call over to Alexis for a detailed financial discussion.
Alexis Wallace: Thank you, Craig. Good afternoon. Before I begin my prepared remarks, I’d like to call your attention to our first quarter 2019 earnings results issued this morning. For the three months ended March 31, 2019, revenues increased 0.3% to $5,321,000 compared to revenues of $5,305,000 for the first quarter of 2018. First quarter revenue for the company’s initial proton therapy system installed at Orlando Health in Florida increased 34.8% to $1,642,000 compared to revenue for the first quarter of 2018 of $1,218,000. Revenue for the Company’s Gamma Knife operations decreased 7.5% to $3,411,000 for the first quarter of 2019 compared to $3,680,000 for the first quarter of 2018. The decline was due to the expiration of 2 customer contracts in April 2018 and January 2019. Gross margin for the first quarter of 2019 decreased to $1,937,000 or 36.4% of revenue compared to gross margin of $2,206,000 or 41.6% of revenue for the first quarter of 2018. This reflected an increase in operating costs, primarily maintenance and depreciation expense. Net income for the first quarter of 2019 was $270,000 or $0.05 per share. This compares to net income for the first quarter of 2018 of $390,000 or $0.07 per share. Adjusted EBITDA, a non-GAAP financial measure, was $2,710,000 for the first quarter of 2019 compared to $2,677,000 for the first quarter of 2018. At March 31, 2019, cash, cash equivalents and restricted cash was $2,399,000 compared to $1,792,000 at December 31, 2018. Shareholders’ equity at March 31, 2019, was $31,479,000 or $5.51 per outstanding share. This compares to shareholders’ equity at December 31, 2018, of $31,048,000 or $5.43 per outstanding share. This concludes the formal part of our presentation. Paulette, we would like to turn the call back over to you for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And we do have a question from Lenny Dunn from Mutual Trust Company. Please go ahead.
Lenny Dunn: Yes. Good afternoon.
Ernest Bates: Good afternoon, Lenny.
Lenny Dunn: Yes. Hi, the Gamma Knife numbers look exactly as I expected them to be, and the book value, it was up again a little bit and was certainly profitable. But I am still very disappointed that we don’t have a proton beam signing. I mean, we keep hearing it’s imminent. And is it imminent now?
Ernest Bates: I think it is, Lenny. This is Dr. Bates. We have plans to place a unit down in Southern California at a hospital in Long Beach, and we are now in negotiations with a hospital in San Francisco, our hometown, to place a proton machine there. I think things are going well. Hopefully, in the near future, we’ll announce these two placements and contracts.
Lenny Dunn: Well, that would be great. But each quarter goes by and it keeps dangling out in front of us. But do you realistically think we’re going to get at least one of these signed in the very near-term?
Ernest Bates: Yes.
Lenny Dunn: Okay. And have we made any progress in convincing these people in Orlando that if they don’t put another unit in, that somebody else will? I don’t mean next door to them but certainly in their territory.
Craig Tagawa: Yes. We’re talking to them about trying to put a second unit in. There’s nothing concrete, and there is no timetable at this point. But we have been talking about it with them.
Ernest Bates: Lenny, I believe this is probably one of the most successful single-room proton systems in the world. They’re doing very well. And I think this substantiates what we have said, that the single room was the way to go with protons.
Lenny Dunn: No question about it. No question on being very successful. And the numbers speak for themselves. And the part that I don’t get is why they don’t wake up and put another one in to prevent competition.
Craig Tagawa: Yes. We’re in discussions with them, but there’s nothing – there is no concrete timetable at this point.
Lenny Dunn: Okay. That’s what you said. But anyhow, with the Long Beach one has been dangling out there for some time now, you mentioned that you thought we’re very close to last call to having that signed. So I hope we can see an announcement soon. Okay. But again, the business is successful. But I think do you want to wake up the share price, you’ve got to sign another proton beam.
Ernie Bates: Lenny, this is Ernie Bates. With respect to the Long Beach, the potential Long Beach project, it is, in fact, true that we’ve been having discussions for a long period about developing a single-room facility there. We have identified a new potential hospital partner, and we’re working with several parties to bring this project to fruition.
Operator: And I’m showing no further questions. I’ll now turn the call back to Dr. Bates for closing remarks.
Ernest Bates: Well, thank you again for joining us this afternoon. In summary, our proton therapy operations continue to post strength, and we remain in active dialogue to advance our pipeline, including HYPERSCAN upgrades to two systems we plan to place in new markets, replicating success seen at Orlando Health. In Gamma Knife, we look for steady, incremental improvement of business now with three relatively new centers gaining traction. Finally, Kettering Medical in Ohio remains on schedule to complete its Icon upgrade in the second half of 2019, allowing us to capture incremental revenue opportunities in large tumors. Kettering Medical is the first of at least three planned upgrades in the next 9 months to 12 months. We look forward to speaking with you on our second quarter 2019 conference call in August.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating, and you may now disconnect.